Operator: Hello, and thank you for standing by for JD.Com's Third Quarter 2014 Earnings Conference Call. At this time, all participants are in listen-only mode. After management's prepared remarks, there will be question-and-answer session. Today's conference is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the meeting over to your host for today's conference, Ruiyu Li.
Ruiyu Li: Thank you, operator, and welcome to our third-quarter 2014 earnings conference call. Joining me today on the call are Richard Liu, Founder, Chairman and CEO, and Sidney Huang, our CFO. For today's agenda, management will discuss highlights for the third quarter 2014. Following the prepared remarks, Haoyu Shen, CEO of JD Mall, will join Mr. Liu and Mr. Huang for the question-and-answer portion of the call. Before we continue, I refer you to our Safe Harbor statement in earnings press release, which applies to this call as we will make forward-looking statements. Also, this call includes discussions of certain non-GAAP financial measures. Please refer to our earnings release, which contains a reconciliation of non-GAAP measures to the most directly comparable GAAP measures. Finally, please note that, unless otherwise stated, all the figures mentioned during this conference call are in RMB. I would like to turn the call over to our Founder, Chairman and CEO Richard Liu right now.
Richard Liu: Thank you, Ruiyu, and hello, everyone. I'm pleased to report we saw excellent growth momentum in the third quarter, as we continue to build the most trusted e-commerce platform in China. During the quarter, we had over 46 million active customers on Jingdong platforms. That is an increase of 109% from last year. This helped us generate over RMB67 billion in GMV, an increase of 111%. Central to our strategy is our 100% commitment to product authenticity. We recently launched a strategic initiative with the Ministry of Commerce to ensure quality remain of our site. Consumers and merchants understand that we have zero tolerance for fakes, which is an important part of why they choose Jingdong to provide superior customer experience. We are also focused on building out a huge selection of products. In the third quarter, we welcomed 13,000 new merchants to our B2B marketplace and saw particularly strong increases in apparel, home decor and sports selections. Another way that we deliver superior customer experience is through our nationwide fulfillment infrastructure. Our seamless delivery network sets the benchmark for speed in the industry, with more than 80% of our direct sales orders delivered on the same day the order is placed or on the next day. We also continue to develop our industry-leading logistics network. We recently launched our first Asian No. 1 warehouse in Shanghai. This facility demonstrates our unrivalled capabilities in building e-commerce fulfillment infrastructure, and it will significantly improve our long-term operating efficiency. Over time, it will also enable third-party sellers to stock merchandise with Jingdong, so we can expand the benefits of our fulfillment efficiency and rapid delivery service to our marketplace type customers. In the third quarter, mobile orders increased by over 500% year-over-year, to almost 30% of the total orders. All of our mobile channels, including our native app and the Weixin and the Mobile QQ, level one entry points are performing extremely well. And these mobile channels have also been effective in strengthening our position in lower-tier cities. While still in the early stage, our partnership with Tencent is making good progress. Tencent brings an unmatched user base to the Jingdong platforms and we see outstanding potential for further collaboration. Looking ahead, expanding product selection across our platforms, reaching a broader range of customers in high-growth markets and enhancing mobile offerings remain our key priorities. We are confident this strategy will help us build market share and further strengthen our industry leadership. Now I will turn the call over to Sidney Huang, our CFO. Thank you.
Sidney Huang: Thank you, Richard, and hello, everyone. Let me spend the next few minutes to go through our Q3 financial results and Q4 outlook. We're very pleased with our third-quarter top-line and bottom-line results. Our GMV year-on-year growth accelerated to 111%, compared to 107% achieved in the second quarter. Excluding the GMV contribution from Paipai and Wanggou marketplaces that were acquired from Tencent, our JD Mall GMV grew 97% year-over-year compared to 85% achieved in the second quarter. This acceleration is a result of our constantly improving customer experience through highly disciplined quality assurance, enlarged product selection and superior delivery and post-sale services. It also benefited from our lower-tier city penetration initiatives and expanding mobile user base through our close collaboration with Tencent. The GMV composition continued its trend towards category diversification. GMV from general merchandise categories grew 177% and accounted for 46% of total GMV. If you look at the number of orders, nearly 70% of all fulfilled orders were for non-electronic products, and apparel and shoes is now the most popular physical goods category on JD platform in terms of orders placed and fulfilled. In terms of GMV, apparel and shoes was the fastest growing category, with a year-on-year growth rate of over 300%. Other fast growing categories included sports, jewelry and handbags and food and beverage. GMV from our marketplace business grew 248% in Q3 and accounted for 40% of our GMV during the period. Excluding Paipai and Wanggou contribution, GMV from our JD Mall marketplace grew over 190% from a year ago as we continued to expand product selection, especially the long-tailed products in the general merchandise categories. Our net revenue grew 61% year-over-year, led by general merchandise categories, especially baby products and food and beverage, as well as the mobile devices and home appliance categories. Services and other revenues grew 184% year-on-year, driven by the higher marketplace GMV, increased advertising income from both 1P and 3P businesses, and the logistics revenue from our third-party merchant services. Our non-GAAP gross margin further expanded meaningfully from the second quarter. The sequential improvement was mainly due to the fact that Q3 was a seasonally slow quarter in which we normally do not conduct major promotional activities. As a result, our gross margin for the 1P business improved significantly on a sequential basis. On a year-over-year basis, however, gross margin for the product sales was largely in line with the same quarter last year. And the improvement was primarily from the higher service revenues associated with both 1P and 3P operations discussed earlier. Now, let's move on to the operating expenses. For the ease of comparison, I will focus on the non-GAAP expense ratios of these operating lines. First, the non-GAAP fulfillment expense ratio rose 30 basis points sequentially to 7.2%, compared to 6.9% in Q2. The increase was largely due to the expansion of our warehouse and delivery networks into the lower-tier cities and our growing logistics services to third-party merchants. The non-GAAP marketing expense ratio declined to 1.9% in Q3, compared to 2.6% in Q2 and 2.1% in the same quarter last year. The sequentially lower marketing expense ratio reflected the seasonal nature of our business and our strategy to optimize our marketing dollars for maximum ROI results. The non-GAAP R&D expense ratio increased to 1.7% in the third quarter, up from 1.4% in Q2 and 1.3% in the same quarter last year. The increase reflected the hiring of additional R&D talent for our growing business units and a midyear salary adjustment for R&D staff. Lastly, the non-GAAP G&A expense ratio increased to 1%, up from 0.9% in both Q2 and the same quarter last year, mainly due to incremental G&A expenses related to our new business lines. So, adding together, our non-GAAP operating expense ratio was 11.8% in the third quarter, which is the same level as in the second quarter. As our gross margin expanded meaningfully, our non-GAAP operating margin reached a positive 0.4%, the highest level in the past six quarters. As a result, our non-GAAP net income reached RMB371 million, with a net margin of 1.3% in Q3, which was better than expected and set a record. While our near-term strategic focus remains to be expanding our market share without pursuing a profit, the better than expected Q3 bottom line does provide an indication of our ability to generate substantial profit on a medium- to long-term basis, as we continue to grow and realize the economies of scale along the way. For the near term, however, we would like to reiterate that our non-GAAP net margin outlook remains at breakeven to negative 1% for the fourth quarter of this year and for the full year 2015. Now let's look at our cash flow and working capital. We are pleased to deliver increased free cash flow in the third quarter, up 150% year on year and 278% sequentially, despite higher capital expenditures. Our operating cash flow was healthy, and inventory turnover and accounts payable turnover days were substantially consistent with the same quarter last year. However, I would like to point out that several large CapEx payments are back loaded, which are scheduled to be paid out in the fourth quarter. Therefore, we do not expect any positive free cash flow in the last quarter of 2014. Lastly, let's discuss our fourth-quarter outlook. We expect our Q4 net revenue to be between RMB32b and RMB33b, representing a year-on-year growth between 59% and 64%. This guidance indicates an accelerated growth rate in our net revenue as we invest more resources to our first-party general merchandise business. Now we can move on to the Q&A session.
Operator: The question-and-answer session of this conference call will start in a moment. [Operator Instructions] Your first question comes from the line of Eddie Leung from Merrill Lynch. Your line is open. Please go ahead.
Eddie Leung: Hi. Good evening. Thank you for taking my questions. A pretty good result, so congratulations. Just a question on some of your new initiatives. Sidney, I think you mentioned that part of the good result in the quarter, especially on the gross margin, is because of higher proportions of revenues from services, so I guess you refer probably to marketing and logistics. So just wondering if you could share more color with us on your financial services, marketing services and logistic services you provide to your merchants. Thanks.
Sidney Huang: Right. So, Eddie, firstly, if we're looking at it on a year-over-year basis, the improved gross margin mainly came from higher take rate revenue from the larger marketplace business. So that is the biggest contributor. And secondly is the advertising revenue that will come from both our first-party and third-party businesses, because the first-party suppliers would also spend more dollars on JD's advertising platform because we now have a huge user base. And third will be the logistics services that we provide to the third parties. On that, we have mentioned in the past that we now deliver roughly 30% of the orders for our third-party merchants, and that percentage has been around -- at a fairly consistent level. But on a year-over-year basis, that does provide a meaningful lift to this non-GAAP gross margin. Okay? It's not real gross margin, as I mentioned in the past, because the fulfillment cost is grouped into the fulfillment expenses.
Operator: Your next question comes from the line of Erica Poon Werkun form UBS. Your line is open. Please go ahead.
Erica Poon Werkun: Hello, Richard, Sidney and Ruiyu. Thank you for the presentation and congrats on your results. My question is related to Sidney's comment on reiterating the Q4 earnings guidance of breakeven to minus 1%. Sidney, if you don't mind, just elaborate a little bit more on what you expect to be the mix shift between first party and the third party. And some of the -- and operating expenditure, what do you see the most in terms of backend loading that will actually cause your Q4 to be maintaining at your former guidance? Thank you.
Sidney Huang: Sure. So, from the pace of our promotional activities throughout the year, really, the Q4 would be very similar to Q2. So when you have heavy promotional activities such as the November 11 promotional period, you would see normally a lower gross margin on our product sales business, similar to the second quarter, and you would also see higher marketing expenses, again similar to the second quarter. So that would be, first and most foremost, the two major differences from the third quarter. And we obviously also continue to look at a number of new business initiatives. We do not break out the expenses on those new business lines, but they have always contributed to the meaningful increase in our various expense lines, as I mentioned earlier. As far as you mentioned, anything back-loaded, there is -- on a P&L basis, there is nothing back-loaded. What I mentioned earlier was really CapEx payments. So, on cash payments, normally for construction related work payments tend to be back-loaded towards yearend.
Operator: Your next question comes from the line of Ella Ji from Oppenheimer. Your line is open. Please go ahead.
Ella Ji: Thank you, and congratulations on a solid quarter. My question is relating to your mobile orders. It represented almost 30% in the quarter and I think on the November 11 Singles Day it represented 40%. So do you think this 40% is representative of the trend going forward? And can you talk about, for example, how many orders are from Tencent's QQ and WeChat? And also, I think you mentioned previously that you wanted to convert those users from Tencent to your own mobile app. Can you give us an update on the progress? Thanks.
Haoyu Shen: Hi. This is Haoyu here. Yes, we did mention that for the entire Q3 the percentage of orders fulfilled from mobile is around 30%, and we did also say that Singles Day, on that one day, the orders placed accounted for -- from mobile, including apps and WeChat and QQ, accounted for 40%. But that 40% doesn't -- is not indicative of where we will end up for the entire Q4, because on Singles Day we have promotions and campaigns specifically for mobile users. We really want to use that day, use that campaign to attract more new users onto our mobile platform. So, again, the 40% is not indicative of what you will see for the entire Q4. And as far as the breakout between our native app, QQ and WeChat, we don't break out those numbers. But what I can tell you is at this point app still accounts for the majority of our orders from mobile applications. And yes, we mentioned a few times that our collaboration with Tencent Mobile QQ and Weixin is still in its early stage. So one goal for us is to really attract new users to the brand, to JD brand, so that they get used to our brand, get comfortable with our brand and eventually they may use our app. But also we're starting to see a lot of users, they like our entry point on WeChat and QQ. They want to stay there and they make repeated purchases. And we're happy to see that as well. So we're really seeing -- starting to see the consumers' behavior shaping up, so I think we're keeping an open mind on this one.
Richard Liu: So we've been doing this for a few months now. On both WeChat and QQ, we're seeing steady improvement of conversion rates, and we're pretty confident that when we invest more into these two channels next year we'll see more progress on customer acquisition and also GMV from these two channels.
Operator: Your next question comes from the line of Alicia Yap from Barclays. Your line is open. Please go ahead.
Alicia Yap: Hi. Good evening, Richard, Sidney and Haoyu. Thanks for taking my questions. So I wanted to also follow up on the user profile, the customer profile. Is there any difference in terms of the purchasing behavior, the amount of the spending, categories of items that the users are buying between the user traffic coming from Tencent's properties versus your own organic traffic? And probably in relation to that is that on your apparel sales I think your management mentioned that it grew a very significant growth rate this quarter. I wonder if that mainly contributes to a different type of customer profile from, for example, Tencent, or is it mainly because of the new merchants that we are able to attract? Thank you.
Haoyu Shen: So, we do see the users from the Tencent -- the two Tencent properties, they tend to be from lower-tier cities. That's in comparison to our PC and our own app, maybe because that's how their users -- the WeChat and QQ users are distributed. And also we see the basket size, the order size, tends to be smaller on these two properties, which is not surprising, I guess, because these tend to be new users. And when it's a more involved purchase or a bigger ticket purchase, at this point anyway, people are probably still more comfortable with PC. As far as apparel, we do see apparel accounts for a pretty big percentage of purchases through the two Tencent properties. But also we're seeing -- especially in the past Singles Day campaign, we're seeing tremendous growth of apparel category in our PC and our own app as well. And I think you talked about are we adding more brands. Yes, we are. Part of the growth of our apparel category is driven by us being able to attract more apparel brands, be it offline or online, to our platform.
Operator: Your next question comes from the line of Eric Wen from China Renaissance Securities. Your line is open. Please go ahead.
Eric Wen: Hi. Thank you very much for taking my questions, Sidney, Haoyu and Liu-zhong. I have a question on your GMV. Can you give us an update on the sequential GMV growth of the Paipai, QQ Buy business and give us some update on the timeline for the completion of the acquisition of 51Buy from Tencent, please? Thanks.
Sidney Huang: Okay. So, on Paipai, this is just the second quarter of our relaunch, so we are still refining our system and also our merchant base, and we are also working innovatively with Paipai and Weixin in close collaboration, especially the Weixin public accounts. So these are some of the new initiatives for paipai.com, but at this point the numbers are still fairly small. For Wanggou business, as we mentioned earlier, we are -- the business is winding down, so we actually see meaningful decline in the third quarter. And for 51Buy, it's still a standalone company under Tencent, but we have opened a JD store on 51Buy where we sell our electronics products on that website.
Operator: Your next question comes from the line of Robert Peck from Suntrust. Your line is open. Please go ahead.
Robert Peck: Yes. Hi, Sidney. Just three quick questions, if you don't mind. One, high level, as you have more of the GMV mix shift going towards third party, how should investors look at your top-line growth? Is revenues the more appropriate metric, or it should be more of gross profit? And then, as we look past 2015, how should investors think about 2016 net income leverages and margin there? And then lastly, as more and more of your GMV shifts to marketplace, could you just go through some of the competitive advantages and differentiation you have versus Alibaba? Thanks so much.
Sidney Huang: Sure. So, first on revenue versus GMV, they are both very important metrics for us. In fact, we have internally made it very clear that we want to take a balanced approach to both businesses, meaning 1P and 3P businesses. So you will continue to see fairly balanced growth, but certainly marketplace, because we start from a smaller base, will probably continue to grow at a faster pace. But our 1P business should also continue to grow at a very significant pace. On the profitability, as I mentioned, third-quarter profitability was higher than expected, but we did not target this kind of profitability. We do not intend to target such profitability next year. For 2016, I think it will be really based on what we have achieved next year and how we look at the competitive environment towards the second half of next year. I think -- but regardless, the -- our ability to generate profit is a lesser question. The question is really when is optimal for the company and also ultimately for our investors to begin pursue profitability. As far as the marketplace growth versus our competitor, we mentioned before that our core competency and our differentiation is to grow our product selection, but at the same time ensuring product quality and authenticity. So we have put in -- as Richard mentioned, put in several measures including a strategic partnership with the government to really have a very, very tight control over the quality of the products we sell and our third-party merchants sell on our marketplace. And secondly is our service level. We are leveraging our logistics network to begin serve our third-party merchants on the delivery service, and we are targeting to begin our warehousing service to our merchants beginning next year. So when the logistics services have been provided to our merchants, then our customers will ultimately benefit. They will receive the same level of service, both on the delivery speed and also on post-sale service level.
Operator: Your next question comes from the line of Thomas Chong from Citigroup. Your line is open. Please go ahead.
Thomas Chong: Hi. Good evening. Thanks for taking my questions. I have two questions. The first one is about the number of headcounts. It seems the headcounts have a very slight decrease on a quarter-to-quarter basis. Can management talk about where the headcount decreases are coming from, because I remember the technology staff should have a Q-on-Q increase? And how should we think about the headcounts in 2015 and 2016? And my second question is about the number of Asia No. 1 warehouses to be completed in 2015 and 2016. Thanks.
Sidney Huang: Okay. So I will take the first question and Haoyu will take the second. For the headcount, actually, the last disclosed number was as of July 31. And the number was high because of the June 18 anniversary sale, when we hired a lot of staff, and we do not downsize them, so we just let it naturally run down through natural attrition. But the September end number is actually not indicative of our current scale. Given the November 11 promotional activities, we have actually expanded our headcount quite significantly from the September 30 level. So there will be some volatility based on -- of headcount based on the seasonality of our business. But generally, if you take a longer timeframe, it should be growing in line with our overall scale, and especially with the number of orders.
Haoyu Shen: So, in regard to Asia No. 1, we have our first Asia No. 1 which is in Shanghai is already online, which is part of the Singles Day event. And right now we have three more in construction as we speak, and all of the three will be in production next year.
Operator: Your next question comes from the line of Jiong Shao from Macquarie Securities. Your line is open. Please go ahead.
Jiong Shao: Or good evening, rather. Thank you for taking my questions. I have two follow-ups, if I may. Firstly, I think, Sidney, you just highlighted that beginning of next year you're going to target your 3P merchants with your logistic offerings. I was wondering how much of your 3P sales today or orders today are currently carried out by your own logistics. And the second follow-up is on your apparel and shoes business, which you also highlight is a very promising area for you. Could you remind us what's the percentage of GMV for this category, apparel and shoes? And what's the split between 1P and 3P today and where do you think it's going to go in the next couple of years?
Sidney Huang: Okay. So on the -- the question is so long, I forgot the first question.
Haoyu Shen: The first question is -- I can answer that question -- is what percentages are we doing logistics for the third-party sellers. I think Sidney mentioned earlier that we deliver about 30% of the parcels for third-party sellers, and that ratio has been stable for a while now. And as we are adding more capacity to our fulfillment centers, i.e. our warehouses, we expect that ratio to go up next year.
Sidney Huang: And on the apparel question, right now it's substantially -- a substantial portion of that is through our marketplace business, but we are actually looking at 1P business mainly through the flash sales model for the apparel business. GMV-wise, the contribution would be smaller than the number of orders, because the ticket size for apparel is generally smaller.
Operator: Your next question comes from the line of Cynthia Meng from Jefferies. Your line is open. Please go ahead.
Cynthia Meng: Thank you, management, and congratulations for a good result. I have two questions regarding the penetration into lower-tier cities. Number one is can you give us some color on the revenue breakdown by tier of cities in China? And number two, will management share with us your progress in deepening penetration into the lower-tier cities? Alibaba publicly said they will push into rural e-commerce, and what will be JD's strategy in that space, or any update regarding your lower-tier city penetration strategy? Thank you.
Sidney Huang: Right. Well, maybe let me first comment on the numbers and see if Richard and Haoyu will add on the strategy. Just on the lower-tier city contribution, we realized that there's actually no standard definition of tier one and tier two cities. So, based on our own internal measure, we actually classified top 52 cities as tier one -- in the bucket of tier one and tier two. So beyond those top 52 cities, we have seen very meaningful improvement in terms of revenue and order contribution. We roughly look at -- in terms of orders, on a year-over-year basis, we saw 145% increase, year-over-year increase, in terms of number of orders from lower-tier cities. So it is growing meaningfully higher faster than the tier one and tier two cities. But we are still a little reluctant to disclose a percentage breakdown, because the definition -- there is no standard definition. So we will see if we can have a more industry standard in terms of classification before we release the actual percentage.
Richard Liu: Penetration into lower-tier cities has been one of the top priorities of this year, and it will be still one of the priorities next year as well. And if you notice that in Q2 this year, that's the quarter when we added the most new counties and districts that we got into ever. And actually, in Q3 we added close to 100 new counties and districts to our last mile coverage. And we are exploring -- in Q4, we are going to do some pilots in terms of getting into villages around bigger cities. And we're thinking -- at this point, this very early stage, we're thinking about some sort of a franchise model that might work in these lower-tier cities. And we're still very optimistic about the strategy and going forward, going into next year, we think this is still a priority.
Operator: Your next question comes from the line of Robert Lin from Morgan Stanley. Your line is open. Please go ahead.
Robert Lin: So three questions from me. One is, in terms of traffic for fourth quarter, we obviously know about Double 11, very strong. We also think that iPhone 6 launch in October could be quite strong. So can you guys give us some more color in terms of GMV expectation, as well as gross margin and margin expectation? Since GMV looks to be quite -- looks to be very strong, gross margin, either direct sales or marketplace, could be the offset, perhaps more on the margin side. The second question is the finance business. Sidney, you mentioned RMB1.4 billion last quarter in terms of supplier finance balance. What would that be for, I guess, this quarter, third quarter? I guess the third question is more broadly for Liu-zhong. We think the consumers in China, they are aging; they're not getting younger. So a lot of the Internet companies talking about younger post-1995 consumers are the core. We actually think the opposite. How do you guys think about the older consumer positioning going forward?
Sidney Huang: Okay. So let me get the first two questions. First, on the fourth-quarter GMV, with the current momentum GMV should continue to grow significantly faster than the revenue growth. We cannot promise you if it could be an acceleration, given that we are beginning to take a more balanced approach to 1P and 3P business, but I can assure you that GMV will continue to grow much faster than our 1P business. And margin-wise, as I mentioned earlier, it will probably have a little more similarity comparing to our second quarter, given the heavy promotional activities and also heavy marketing spending to go with that. So you will probably see our product sale gross margin coming down from the third-quarter level, but we could see higher advertising dollars in the fourth quarter. So I can't really give you a direction, but that's the general lines that you can think about it. On the second question, supplier financing, right now we have reached a decent penetration of our suppliers. So if you look at the supplier financing balance at the end of second quarter and versus third quarter, they are actually fairly consistent. That's because these two -- the Q3 was a seasonally slow quarter. So in terms of their inventory level, they are actually fairly close. As a result, the supplier finance balance would also be fairly close. So, Q3, if we see meaningful pick up at our volume -- both volume and also inventory level towards the end of the year, then the supplier finance balance will also increase accordingly.
Haoyu Shen: So Richard just said that a few years ago, when we did customer research, what we found was 80% of our customers are between the age of 25 and 35, and right now that number probably has changed to 80% of the orders come from people between 20 and 45. So we're seeing a much wider range of our customers, both on a lower end and on a higher end. So I think younger people and older people are both very important for us, as far as our target consumers, and we want to serve both of them. The other thing that Richard just shared was young people tend to be very sensitive to delivery, the speed of delivery. When a young person buys consumer electronics products, he's probably very expectant of getting that parcel delivered quickly. And if I may add two more points to this question, one is historically we tend to -- compared with some other platforms, we tend to serve people with higher income, more mature, higher spending power, so I think that is in our favor. And also, on our platform we're seeing a lot of younger people buying from us for their parents. And this is actually a great way for young people to -- because everybody is busy these days, to buy products for their parents, and they can be assured that by buying from Jingdong for their parents, for older customers, they can have peace of mind.
Operator: Your next question comes from the line of John Blackledge from Cowen. Your line is open. Please go ahead.
John Blackledge: Great. Thanks. Just two quick questions. What was the 3Q revenue mix for electronics versus general merchandise? And then the second question would be the third-quarter orders per active customer were slightly lower than the second quarter. Is that just seasonality, or is there any other driver of the slightly lower order per active customer on a Q-over-Q basis? Thank you.
Sidney Huang: Sure. So, on the electronics and general merchandise breakdown, I mentioned earlier that general merchandise did grow faster within our 1P business. So we do not break out those two categories on a quarterly basis, but general merchandise is growing at a faster pace. And the second question, on orders per customer, this has a lot to do with the second quarter having our anniversary sales event, so during which customers tend to place more orders, and also Q3 is a seasonally slower quarter. So even though we attracted a lot more customers, but because of this seasonal pattern that the average orders per customer reduced.
Richard Liu: We expect that GMV from non-electronic merchandise will exceed that of electronics next year.
Operator: Your next question comes from the line of Chao Wang from Nomura. Your line is open. Please go ahead.
Chao Wang: Hi. Thank you for taking my question. I'm just wondering why sales and marketing expenses on a non-GAAP basis declined dramatically in the quarter, while active customer actually grew nicely. How should we think about the trend going forward? Does that mean user acquisition costs declined significantly? Thank you.
Sidney Huang: Right. So this is really our strategy of focusing the marketing dollars during the best time period, which would generate higher ROI. So what we believe, the third quarter is a season that does not have a lot of activities, so we decided to reduce the spending and shift it to more productive quarters. But this is actually also a very good indication that the customer acquisition or transaction does not necessarily have a direct impact from the marketing dollars, especially the marketing dollars for branding purposes. So, normally, when you have large promotional activities in second quarter and fourth quarter, a meaningful amount of advertising dollars will be spent on branding activities. And so they will have a fairly meaningful impact, but not necessarily something that will impact your current quarter immediate customer acquisition.
Operator: Your next question comes from the line of Ida Yu from CICC. Your line is open. Please go ahead.
Ida Yu: Hi. Thank you for taking my questions. Actually, I have two questions here. The first one is in regard of the gross margin. Based on my estimation, I noticed that actually the gross margin of direct sales reached seasonal high in Q3 this year, and the same thing happened last year Q3. I was wondering what's the reason behind it. And my second question is can you give us more color or more data on your November 11 sales? And what is the revenue or GMV contributions to your Q4 number? Thanks.
Sidney Huang: Right. So, on the gross margin for direct sales business, I actually mentioned during my prepared remarks that because Q3 has less promotional activities, so our product sales gross margin would be higher. And actually, both quarters are fairly consistent in that regard because, for example, when you participate in anniversary sales, we would normally have deeper discounts on the products we sell. So that's really the main reason. And then, on the November 11 sales event, we actually run 12-day promotional activities, during which we have -- each day or two, we will have a different category. So it's very different from our competitors. Some of them I understand will actually pre-sell long in advance and have customers put down payments, and then only to transact on November 11, on that one single day. And for us, we spread out that promotional activities in 12 days. So that's why we -- I think it's actually not meaningful to compare our single-day volume, whether it's GMV or orders, versus some of our competitors. But what I can say is we do see very meaningful growth, year-over-year growth, during those promotional periods. And at this point we are very optimistic of having a very good quarter, which has been also partially indicated in our fourth-quarter guidance.
Richard Liu: So during Double 11 sales we saw great growth of our GMV but, more importantly, our advantage in logistics again contributed to a great customer experience. So we are able to fulfill all the orders according to our promise to our customers, and with very little customer complaints about the speed of delivery.
Operator: Your next question comes from the line of Sean Zhang from 86 Research. Your line is open. Please go ahead.
Sean Zhang: Hello, management. Congratulations on a strong quarter. I have a follow-up question on the marketplace business. And I noticed that if you look at the rough take rate, third-quarter take rate, actually it went down from 6.7% to 6.1% on the marketplace. Could you tell us what's the driver behind that? On the mobile, I have a follow-up as well. And mobile already accounted for 30% of your GMV. Can you give us some color on your mobile monetization? Thank you.
Sidney Huang: Okay. So, I will try to answer the first one and see if Haoyu can address the second one. I think you are looking at the service revenue over GMV. Is that how you calculate the effective take rate?
Sean Zhang: Yes, I know that's not an exact calculation, but it does give us a picture of the take rate.
Sidney Huang: Right. So, yes, that's probably not -- because there are several components in it. One reason I can explain is for the second quarter, because of our anniversary sales activities, our marketing dollars -- marketing revenue was actually higher than the third quarter. So that would be one reason, but it certainly would not contribute the difference you mentioned. So there are a number of other revenue components in the service revenue also, including logistics. So that's why I think that it's just not -- you cannot calculate the take rate just from these numbers.
Haoyu Shen: As far as mobile contribution, we mentioned it's around 30% of the orders fulfilled are from mobile. This includes both our app and from Tencent properties. So it's not GMV. It's number of orders. And if you look at GMV, it's lower because the orders tend to be smaller for mobile channels. And I'm not sure what you mean by mobile monetization.
Operator: Your next question comes from the line of Tian Hou from TH Capital. Your line is open. Please go ahead.
Tian Hou: Hi, Richard, Sidney and Haoyu. I have a couple of quick questions. One is related to your gross margin for your online direct sales. So certainly Ida said its 6.9% in Q3 this year and last year. So given that your direct sales -- online direct sales GMV grew 67%, and also on your cost line you also have some -- the interest income from your financing, so putting the scale of economy as well as additional credit from financing, don't we supposed to see a upside in your gross margin? That's number one. I wonder why we didn't see that. The number two is how much credit comes from your financing activities? Third one is a quick one. In terms of the GMV from electronic and home appliances, would you please give a breakdown in terms of how much from your direct sales, how much from marketplace? That's all my three questions. Thank you.
Sidney Huang: Okay. Now those are very good questions. I think the general merchandise did grow faster, but actually the pace was actually fairly close to the average. So there is some higher growth. But we also look at the other categories, for electronics, are also growing very fast. So we do have the potential to expand that gross margin as we continue to grow scale. But at this time, we do not believe, as we mentioned, that we'll continue to put our priority on expanding our market share. So even in the third quarter, since you look at it this closely, what we can say is we are not in the mode of monetizing our scale. In fact, to the extent possible, we have always pursued growth over higher gross margin. Basically, we are giving this benefit to the consumers. Okay? And your question on how much the supplier financing is contributing to the gross margin, the number is still fairly small because it's -- we calculate it's actually less than 0.1%, but it's getting close to 0.1% impact.
Operator: Your next question comes from the line of Alan Hellawell from Deutsche Bank. Your line is open. Please go ahead.
Alan Hellawell: Hi. Thank you very much. Now that we're into the peak e-commerce season, seemingly all third-party courier firms have raised pricing by 25% to 30%, and we assume that goes through Chinese New Year. How does this impact translate for a leading P1 model like yourselves? And then secondly, there just seems to be particularly high profile discounting drives introduced this season. I noticed that Gome is claiming that its discounting has resulted in 72% of products compared being cheapest on its platform. Are you willing to get more aggressive on pricing? And what might that imply to the P&L? Thank you.
Sidney Huang: Sorry. Could you repeat the first part of the question? What was -- you were saying something about 25%.
Alan Hellawell: Yes. It seems as though all of the courier firms we've surveyed have increased their delivery pricing by 25% to 30%, and we expect that to continue to February. I'm not sure if you would make the same observation, but in any event it wouldn't be surprising. And given this inflation in delivery rates, how should we think about it given that you're significantly a P1 player?
Sidney Huang: Yes. Haoyu, do you want to take that?
Haoyu Shen: Yes. I'm not sure what your question is about. We do have pressure on our labor costs, that's for sure. Everybody has that. But we manage by streamlining our processes, both in our warehouses and in our last mile delivery. And the key is when the order density goes up, we can benefit from that. And we do deliver -- on the other hand, we do deliver for our third-party sellers, and we want to have every intention to stay competitive on pricing at this point. So we don't have any sort of plans as of yet, right now, to increase our price going into the New Year.
Sidney Huang: Right. But I guess, given the third parties raising price, at least part of that, if not all of them, will be absorbed by consumers on other platforms. So I think this price increase will actually benefit JD, as we have a very low threshold for free delivery. And so that should be -- if anything, should be a positive. And on the price competition question, you mentioned about some of our competitors claim that they are being more aggressive. For any of those players who have an online and offline presence, they are discounting -- when they announce these kinds of discounts, normally it applies to only a very small selection of the online products. And you can simply look at their gross margin at the quarter end; you would know that any discount they claim to have will certainly be applicable to a very small selection.
Haoyu Shen: I have just one point to add there, on major appliances. We've been investing in this category for a few years now, and we've become a very, very meaningful player in this category. And actually, in the Singles Day event, we were very happy about what we're seeing in that category. So I think we are -- against any competitor, we have every intention to stay competitive, and we are at that size.
Operator: We are now approaching the end of the conference call. I will now turn the call over to JD.com's Ruiyu Li for closing remarks.
Ruiyu Li: Once again, thank you for joining us today. Please feel free to contact us if you have any further questions. Thanks for your continued support and we're looking forward to talking with you in the future.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Good day.